Operator: Ladies and gentlemen, thank you for standing by. Welcome to iHeartMedia, Inc's 2014 fourth quarter and full-year earnings conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions]. As a reminder, this conference is being recorded. I will turn the conference over to your host, Effie Epstein, Vice President of Investor Relations. Please go ahead.
Effie Epstein: Good morning and thank you for joining our 2014 fourth quarter and full-year earnings call. On the call today are Rich Bressler, President, Chief Operating Officer and Chief Financial Officer and Brian Coleman, Senior Vice President and Treasurer. We will provide an overview of the 2014 fourth quarter and full-year financial and operating performances of iHeartMedia, Inc., iHeartCommunications and Clear Channel Outdoor Holdings. For purposes of this call, when we describe the financial and operating performance of iHeartMedia, Inc., that also describes the performance of its subsidiary, iHeartCommunications. After an introduction and a review of our results, we will open up the line for questions. Before we begin, I would like to remind everyone that this conference call may include forward-looking statements that involve uncertainties and risks. There can be no assurance that management's expectations, beliefs or projections will be achieved or that actual results will not differ from expectations. Please see our annual reports on Form 10-K and our quarterly reports on Form 10-Q filed with the Securities and Exchange Commission for a discussion of important factors that could affect our actual results. Pacing data will also be mentioned during the call. For those of you not familiar with pacing data, it reflects revenues booked at a specific date versus the comparable date in the prior period and may or may not reflect the actual revenue growth rate at the end of the period. During today's call, we will provide certain performance measures that do not conform to Generally Accepted Accounting Principles. We have provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press releases and the slide presentation, which can be found on the Investors Section of our websites, iheartmedia.com and clearchanneloutdoor.com. Please note that our two earnings releases and the slide presentation provide a detailed breakdown of foreign exchange and non-cash compensation expense items, as well as segment revenues and OIBDAN. With that, I will now turn the call over to Rich Bressler.
Rich Bressler: Thanks Effie and good morning everybody. Once again, as Effie mentioned, you can find our presentation slides on our website. I am really proud of what we have accomplished this past year. So let me start with a few thoughts about 2014, a year in which we further strengthened our position as a leading media and entertainment company for the digital age and one that is advantaged by consumer trends moving to out-of-home and mobile. Our growth in the last year underscores our continuing hard work to provide consumers with the content they love anytime and anywhere across all of their devices in and out of the home. Our business model is simple. Create big and deep relationship with consumers and rent the use of those relationships to advertisers. We have done a great job building those relationships. iHeartMedia has the largest reach of any radio or TV outlet in America even more than Google or Facebook in the United States. And outdoor continues to engage with consumers through key locations like our new digital billboard in Times Square that spans a full city block. As you can see, we reach consumers across all platforms, outdoor, broadcast radio, digital, mobile, social and events. We have made and continue to make progress in redefining our relationships with leading advertising agencies and our partnership with Horizon and Omnicom are examples of that. In a nutshell, the key players in advertising are driving towards fewer, bigger and more well-defined relationship that we believe is a beneficial trend for iHeartMedia, considering our diverse set of media assets, our size and our reach. We are working with planning in strategy groups across all agencies, as well as with their radio and outdoor buyers in addition to direct relationship with a number of key CMOs at the client level. Through these coordinated efforts we have increased advertising dollars to our platform. For example, with Taco Bell and their breakfast lunch as well as Experian and Pizza Hut. We have also grown our presence in key categories like movie studios and TV networks. Technology has really opened up great new ways for us to even add more relationships and further deepen them through social and digital. There are over 90 million unique digital visitors across our iHeartRadio network and our social presence is larger than ever with more than 70 million followers. We are using our social media presence to amplify advertiser messages and engage with consumers before, during and long after an event, show or radio program. Last year, our Jingle Ball Tour generated 6.5 billion social impressions and our award show, the iHeart Music Awards generated 8.5 billion social impressions and drew in over 65 million votes from fans. We and others believe the challenge on the radio front is that on an industry level radio is still underutilized and undermonetized. You heard this yourself back in December when Andrew Robertson, Global CEO of BBDO, Adweek's Global Agency of the Year told Bloomberg TV and I quote, " There are still huge, huge radio audiences and frankly, it is a massively an underutilized medium because people don't think to use it as readily as other media". We couldn't agree more. Last year, Nielsen Audio and Nielsen Catalina Solutions announced that they finally cracked the code and created the first single source ROI measurement tool for radio. The study showed the power of radio and highlighted radio's ability to deliver an average sales lift of more than $6 for each dollar spent. According to Advertising Age, that's an ROI greater than digital or TV media. This was an important development as radio continues to close the gap between its massive consumer scale and engagement and it's relatively low share of advertising spend. Nielsen has proved beyond a shadow of a doubt what everyone in our industry has always known, that radio always over delivers by far for our advertising partners and that radio provides unparalleled value for every dollar invested. We continue to take this message to advertisers to help our partners understand why radio should become a bigger part of their media mix, especially now when consumers are becoming increasingly mobile. Just as a point of reference, 66% of the usage of what is generally referred to as mobile is consider in the home, whereas radio is the opposite and is consumed about two thirds of the time out of the home, delivering on the true promise of mobile as an advertising vehicle. Across-the-board, we are pushing ahead on all cylinders our continued outperformance on the radio market reflects our efforts. Our ability to grow our overall advertising revenue, even with the challenged radio environment as we saw last year, speaks to our strength and scale as a company. On the outdoor front, we reach millions of people through our global footprint, which includes more than 640,000 displays in over 40 countries with 1,175 digital billboards in North America and over 4,700 digital displays in our international markets. With the growth of social media and mobile, more and more advertisers want the flexibility to coordinate their outdoor spend with real time events and product launches throughout the year. So outdoor is even more relevant. On New Year's, we teamed up with Snapchat to broadcast their users' New Year's Eve "snaps" on our digital screens in Times Square. This is just one example of how players within the newest media are looking to build a relationship with outdoor. In America's outdoor, we spent the last year making a lot of changes in the organization as you know. We realigned our sales teams and implemented general process and operational improvements and also addressed various issues that got in the way of us executing effectively in the marketplace. Our team is focused on reinforcing our strong relationships with outdoor specialist agencies while continuing to develop strong bonds with clients and strategic planners to deliver the out-of-home solutions that advertisers want. On the product side, digital development and expansion continue to be a significant ongoing growth strategy to CCLA as we are able to provide advertisers customizable real-time solutions to engage with consumers through the integration with out-of-home, mobile and social platforms. From an industry perspective, we are pleased that the Traffic Audit Bureau for Media Measurement or TAB released the first major revision to its out-of-home rating system last summer to include significant new data points such as traffic congestion and vehicle speed. As part of this new system for the first time digital billboards are measured by spot, not by structure. So visibility and rotation are taken into account. Our view is that more accurate credible granular data provides more accountability and accuracy for advertiser ROI models. So this clearly represents an important opportunity for our Americas outdoor business. At international outdoor, that we had tremendous success in 2014, fueled by organic growth as well as through new contracts. Outdoor is a sought after advertising medium globally, particularly in Europe and there is a lot of innovation associated with it. For example, our nationwide expansion in the U.K. is on the way leveraging technology in key digital assets across major cities to serve marketers in powerful ways. Our performance highlights our ability to bring together creativity, technology and orient insight to create cutting-edge solutions for advertisers. Overall, we have an arsenal of talent, asset, engaged audiences and wide-ranging experience that we can deliver to brands to help them connect to the audiences they want across radio outdoor and digital, an arsenal that we keep expanding. We have created truly a powerful platform for advertisers, agencies and brands to engage with the right audiences at the right time with a cost efficiency not offered by any other major media. We have also brought some extremely talented people on board over the past year, including Gayle Troberman, former Chief Creative Officer of Microsoft to be our Chief Marketing Officer and Adam Denenberg, former VP of Engineering at Huffington Post to be iHeartRadio's digital CTO. Again, I am incredibly proud of what we have achieved in 2014, both from a strategic and financial perspective. Last year, we focused on efficiency and better allocation of resources as well as on increasing our operating leverage on a fixed cost base. As a result, we delivered on margin performance like we said we would with margin expansion in the second half of the year and a substantial margin improvement in the fourth quarter. We have a lot to look forward to in 2015 as we continue to work with brands, agencies, consumers, talent and partners to realize the full value of our broadcast radio, digital, events, social and our outdoor assets. Consumers don't think about what device they are using. They want what they want when they want and wherever they are. Although digital is playing an increasingly bigger role in consumer media consumption, digital radio is still only about 10% of all radio listening. And good old broadcast radio has many of the characteristics of mobile and digital, but delivered with superior quality, reach and scale. In addition, our social footprint provides us with an even deeper highly interactive relationship with our consumers. The media world and the way consumers are interacting with it is changing every day and a number of plans are converging. iHeartMedia sits at the crossroads of where all those trends converge and we have the right assets at the right time and in the right places to meet consumers and advertiser needs to communicate, share and engage. Now let's turn to slide four and review our key financial highlights. In 2014, we grew our consolidated revenue and OIBDAN. Our growth is a testament to the success of our continued innovation and our hard work and anticipated needs of consumers and our advertising partners. As we have told you frequently, financial discipline and a focus on improving operating efficiencies, we have made the top priority for us. When discussing our financial results in this call, I will refer to all results excluding the impact of FX as the strengthening of the dollar, particularly in the fourth quarter, against the major currencies we transact in affected our numbers on a reported basis. You can find our reported numbers in our earnings deck, press releases and SEC filings. Starting with the fourth quarter. Revenues were up 3% with increases of 4% at outdoor and 1% at iHeartMedia. OIBDAN rose 8%, driven by an increase of 11% in international outdoor, 7% at iHeartMedia and 4% at Americas outdoor. This is the second quarter where our OIBDAN was up across all of our business segments on an adjusted basis when excluding spending on revenue and efficiency initiatives and certain litigation. For the full-year, our revenue grew 2% driven by 1% increases at both iHeartMedia and our outdoor business and a 15% increase in our other segment which includes Katz, our media representation business. OIBDAN was up 3% driven by a strong 10% climb in international outdoor, an increase of 2% at iHeartMedia and a 50% increase in Katz. OIBDAN growth was slightly offset by a 3% decrease at Americas outdoor. At iHeartMedia, political dollars, traffic and weather as well as national broadcast radio drove higher revenues in a market that was soft across local radio. In international outdoor, our growth resulted from both organic growth and new contracts. At Americas outdoor, we have made a lot of progress this year despite headwinds on the national front, the loss of the LA digital board and continued softness in the market. I will expand on these points a little later. Now to our highlights. Starting with slide five. At iHeartMedia, we surpassed 60 million iHeartRadio registered users in January, growing 37% year-over-year. As a reminder, this does not take into account the millions of users who listen to iHeartRadio live streaming radio stations which do not require registration. So the absolute total reach is even greater. Total listening hours also continued to grow increasing 14% year-over-year in the fourth quarter and our consumer brand awareness reached 75% in December, up from 70% at the end of last year, putting us ahead of other major digital players such as iTunes Radio and Spotify. For the second year in a row, we are in Adweek's "Reader's Choice Award for the Hottest Music App of 2014" This further highlights our success in serving our listeners in all the ways they want. This growth comes on the heels of iHeartRadio's expanded availability across more than a dozen additional devices and after the 2015 Consumer Electronic Show including first-time integrations with Sony, LG and others spanning auto, in-home entertainment and gaming. These partnerships let us extend the reach of our traditional radio brands into new devices where the consumers expect to find us. As you have seen, we continue to grow and evolve to meet the needs of our advertisers and consumers. A great example is the announcement we made earlier this month lunching iHeartMedia Soundboard to create the next generation of brand storytelling. This one-of-a-kind audio studio for the digital era bring brands together with iHeartMedia's portfolio of talent and personalities to produce original audio, video and experiential content that move seamlessly across radio, digital, social and events. With iHeartMedia Soundboard, we will top our incredible network of on-air personalities from national names like Ryan Seacrest and Elvis Duran to the many local personalities who resonate in their communities. We will also leverage our unique access in the most innovative creative thinkers in music and entertainment to develop productions that combine the power of live radio with richer storytelling across platforms. This demonstrates how we are using the power of sound, the power of live content and the power of cross-platform programming to engage, entertain and capture the imagination of the consumer. We also significantly grew our events platform in 2014 adding the iHeartRadio Music Awards, Country Festival and Fiesta Latina to our line of tent-pole events. We recently announced our first new event of 2015, the first ever iHeartRadio Ultimate Valentine's Escape taking place this weekend in Las Vegas. The weekend will feature live intimate performances by John Legend and OneRepublic. Our slate of nationally recognized events is part of the integrated content experience we provide our consumers and our advertising partners. There are live audio on our radio stations. There are digital audio and video content that promotes our stations and iHeartRadio as well as our advertisers and artists. They are mobile and of course they are all over social media. Our 2014 iHeartRadio Music Festival had over 5 billion social impressions, as big an impact as last year's Academy Awards and twice the impact of the 2015 Super Bowl halftime show. And our Jingle Ball Tour generated 6.5 billion social impressions. As I mentioned on our last call, our growing events business provide innovative opportunities for advertisers across a variety of categories to connect with their consumers. When I look at our 2014 events roster and sponsorships, we have both first-time sponsors and returning sponsors enthusiastically support our events, which really speaks of the national platform we have built in a relatively short period of time. Everything we built is possible because of the power of radio. To quote Matt Seiler, Chief Executive of agency giant IPG Mediabrands, " The genius of radio is that it's about the here and now. You can't skip past radio." Moving to outdoor on slide six. We continue to grow our digital presence with 1,175 digital billboards in North America and over 4,700 digital displays internationally. In our Americas business, we became the exclusive sales agent for the largest most technologically advanced billboard in Manhattan's Times Square that I mentioned earlier. This addition to our portfolio of marketing solutions helps advertisers make an impact on one of the most visited, photographed and filmed locations in the world. I invite those in New York to go to see it. The billboard spans a full city block and is larger by far than any other billboard in Times Square. That's a powerful value proposition for advertisers. At international outdoor, we continue to provide advertisers and agencies with opportunities to use out-of-home to test creative boundaries and create an even deeper sense of engagement with consumers. In the U.K., our digital portfolio is rapidly expanding. We are putting digital screens in strategic locations in major cities and these state-of-the-art screens will be connected to a centralized data management system. In London, we launched our first batch of London Wrap digital screens which delivered pin sharp images and contextual advertising for brands. They can be triggered by range of factors including temperature, pollen count and weather. We also won the Glasgow Street Furniture contract where we will build mobile interactivity into hundreds of bus shelters across the city and digitize the city's premium outdoor advertising sites. This nationwide expansion further builds on our position as U.K.'s top player in digital roadside media. As you can see, we are growing our digital footprint, both inside the United States and abroad and our team continues to focus on superior execution to deliver both new and organic growth across the portfolio. Starting with iHeartMedia on slide seven, fourth quarter revenues were up 1% year-over-year despite the softness across the industry. According to Miller Kaplan, the overall radio industry was relatively flat during the fourth quarter due to the weakness in local, which was down in October, November and December. We significantly outperformed the market and grew our overall radio business year-over-year, driven by increases in national as well as our network business which includes traffic and weather. In local, we outperformed the industry. But our local revenues were down year-over-year, partially offsetting our topline growth. We did see a benefit from political advertising this quarter, although total spend in 2014 came in weaker than expected due to the lack of competitive races in larger states. Fourth quarter political revenue was as about $26 million at iHeartMedia and about $17 million at Katz. We will go into more detail when we get to slide 10. In addition to political, the advertiser verticals with the strongest year-over-year growth included entertainment, recruitment and employment, along with auto. Moving to expenses. As we discussed on last couple of earnings calls, financial discipline and tight expense management are key priorities for us and we have delivered, reaching a 41% OIBDAN margin [indiscernible]. Even with topline growth, we managed to decrease our operating expenses by 3% resulting primarily from the execution of efficiency initiatives. Our focus on increasing operating leverage and return on capital deployed resulted in adding more dollars to the bottomline in the fourth quarter, growing our OIBDAN 7% year-over-year. For the full year, both revenues and expenses increased 1% at iHeartMedia, driving a 2% growth in OIBDAN. Excluding spending related to strategic revenue and efficiency initiatives, expenses would have been flat year-over-year. We grew our topline even in the face of a challenging year to local radio advertising. [Indiscernible] reported that local was down in every quarter this year across our markets. There is not one reason that we can pinpoint as to the weakness here as it was likely driven to some extent by macroeconomic factors such as the impact of harsh weather on the economy and weakness in retail holiday spending. I would like to point out that what we call "local direct business" sales that are done locally directly with advertisers was up year-over-year, demonstrating that local advertisers recognize the impact radio has on ROI. On the agency side, we continue to focus on building relationships beyond just radio buys to ensure that as the agencies begin to plan the allocation of ad dollars to various sectors, radio will get its fair share. As you know, digital is a growing business for us and I am happy to say that in 2014, we grew both our local and national digital businesses. Lines are getting increasingly blurry between local, regional and national spending across all disciplines, spot, digital and events and we are well positioned to benefit from this trend as we offer advertising solutions across the board. This along with over delivery in Miller Kaplan demonstrates our ability to attract advertising dollars by leveraging our multiplatform assets. Our largest advertiser verticals in 2014 were auto, entertainment and financial services. Our first quarter pacings at iHeartMedia through the end of last week are pacing up 2.3% with core stations slightly up at 0.3%. As you have heard me say this before, these pacings are just a snapshot in time and certainly do not include everything we do as a company. Turning to Americas outdoor on slide eight. Our quarterly revenues were essentially flat, after excluding the impact of foreign exchange. Our expenses were down 3%, while our OIBDAN for the quarter increased 4%. Similar what we have seen in the last three quarters, our local performance was strong in the quarter but that growth was offset by a continued weakness in national. From a product perspective, our digital revenues continue to grow driven by increased capacity and occupancy. As you know, our digital presence serves advertisers well, especially as they increasingly seek more immediacy, flexibility and real-time marketing capabilities. On the traditional side, we saw a decrease in bulletin revenues, driven by declining rates due to softness in national as well as a reduction in inventory due to digital conversions. Our top categories in the quarter included retail, business services and media. We continue to make progress in improving the business. As a reminder, Americas outdoor revenues decreased 6% in the first quarter, 4% in the second quarter, does 1% in the third quarter and was nearly flat in this quarter and specifically in national., we saw a significant sequential improvement quarter-to-quarter narrowing our year-over-year declines. As we have talked about, in the first half of the year, we were affected by the LA digital boards that were turned off. Although we have cycled through those from the direct year-over-year comp perspective, there are still indirect impacts from not having these boards in our portfolio and that's particularly relevant from the national perspective. In addition, as an industry, we saw a larger number of product launches around telecom and tech in 2013 than we saw in 2014. Those dollars just didn't come back to the same extent they were there last year. For full year 2014, our revenues were down 3%, expenses decreased 2% and OIBDAN declined 3%. This was a challenging year for our Americas outdoor business. But as I just mentioned, we are pleased to see steady improvement quarter-to-quarter throughout 2014. Before jumping into pacings, let me give you an organizational update. We are still in the search process for a CEO of our Americas business. We are focused on bringing the right person onboard and these things take time. In the meantime, the COO is not missing a beat as our office of the President, which is comprised of three seasoned outdoor executives with experience across sales and operations is in direct oversight of the business. As for our pacings, which once again reflects just 1.5%, our first quarter pacings were up 4.8% as of the end of last week. We are seeing low to mid single digit growth in both national and local and double digit growth in digital. Turning to slide nine. Our international team continued, both in the quarter and in the full year, to achieve topline growth while driving more revenue to the bottomline. Both new contracts and organic growth across our portfolio contribute to our success. In the fourth quarter, revenues were up 7%. Western Europe, once again, a big driver for us with Italy U.K. and Sweden, all postings strong growth. Revenue at emerging markets also increased, resulting from new street furniture contract and organic growth in China and the expansion of our Smartbike contract in Mexico. Expenses grew 5% in the quarter, driven by higher revenues and our OIBDAN declined 11%. For full-year 2014, revenue grew 4%, expenses increased 3% and our overall OIBDAN was up a strong 10%. This impressive 2014 performance is due to both organic growth and new contracts. We continue to be very excited about how our international outdoor assets are performing. Our first quarter pacings for international outdoor are up 4.9%. On slide 10 we show some of the items that affect the year-over-year compatibility. First in revenues. I spent some time earlier talking about the softness in the political landscape. For the full year 2014, we had approximately $87 million in political spend on a consolidated basis. As you know, political spending is a key revenue driver for Katz, our media representation business that's included in our other segment. Of our $87 million in revenue from political, $31 million was from Katz. On the expense side, we incurred approximately $20 million of cost related to strategic revenue and efficiency initiatives in the fourth quarter, which brings us to a total of $71 million of those costs in 2014. This compares to about $18 million in fourth quarter 2013 and $58 million for full-year 2013. I would like to point out that the allocation of these expenses varies when comparing to two full year periods, since we focus on different segments as warranted by our business needs. For example, in 2014 we incurred about $20 million of these costs in our iHeartMedia segment, double of what we had in 2013. On the other hand in CCI, these costs were reduce more than 60% from 2013 to 2014. Again, on a consolidated basis, our OIBDAN was up 3% in 2014 on topline growth of 1%. So we continue to realize the benefits of these investments. Although we are not providing guidance on these costs in 2015, we expect to continue to incur these costs this year on some level. Turning to slide 11. Capital expenditures for the year ended December 31, 2014 were approximately $318 million compared to $325 million in 2013. In 2015, we forecast a total CapEx spend of approximately $300 million to $350 million, with approximately 75% of the capital expenditures spending occurring in outdoor. Moving to debt on slide 12. We are staying focused on maximizing the value of our business by continuing to improve our capital structure and liquidity through capital markets and strategic transactions. As of December 31, iHeartMedia's debt, net of cash, totaled approximately $20 billion. During for the fourth quarter, we repurchased a total of $57 million of outstanding 5.5% Senior Notes due 2016 and $120 million of outstanding 10% Senior Notes due 2018 purchased at a discount for total purchase price of $159 million further helping us manage our interest expenses in the near-term. Remaining in 2016, we have now having $31 million in senior bank debt which we believe we can be opportunistically refinancing as well as some legacy notes due in December of 2016. During the year, we refinanced all of our 2014 and 2015 debt maturities, as well as $1 billion or more than half of the remaining senior bank debt due in early 2016. Additionally, we strengthened our liquidity position with the sale of various non-core assets and continued to optimize our assets with the sale leaseback of our corporate offices and the Tower sale we recently had. With our clear runway to 2018, we can continue to focus on growing the top and bottom lines across our business segments. Our weighted average cost of debt is 8.1% as of December 31, compared to 7.6% as of December 31, 2013. Now we turn to our balance sheet information and debt ratios on slide 13. iHeartMedia's cash totaled $457 million at December 31. Our secured leverage ratio was 6.3 times. Clear Channel Outdoor ended the quarter with $186 million in cash with its senior leverage ratio at 3.6 times and its consolidated leverage ratio at 6.4 times. We continue to evaluate the various available levers we have to enhance future liquidity. As a reminder, in December 2014, we agreed to sell the 411 of our broadcast tower sites to Vertical Bridge for up to $400 million and leaseback space on them for our antennas. The transaction, which is subject to customary closing conditions, may occur in one or more closings with the initial closing on track for mid-March. Let me also take a minute to address our view on our business more broadly from a liquidity perspective. We are continuing evaluating our business and asset portfolios and look for ways to optimize our assets. From an operational perspective, superior execution, improve the operating efficiencies and growing the bottomline are main priorities. We will also always examine relevant M&A opportunities, non-core asset sales and other strategic moves to further maximize the value of our assets. I think our actions in the past couple of years speak to our commitment to this process and we have announced and/or closed our non-core asset sales of nearly $800 million, including the pending sale of our tower portfolio that I just mentioned and our real estate in San Antonio, as well as sales of our stakes in Sirius XM, Buspak, which is our Hong Kong JV and Australia Radio Network among other transactions. Let me close by saying, in 2014 we further strengthened iHeartMedia's position as a leading media and entertainment company in the digital age, building on our unparalleled reach, scale and impact as well as our broad and unmatched spectrum of multiplatform assets. You have heard us say many times that we are a one-of-a-kind media company. In fact that's how I introduced our company at the beginning of this earnings presentation. You have probably heard it so many times that it doesn't register exactly why we are saying that. But there just no other words I can describe the kind of company we are. We reach hundreds of millions of listeners every month through our broadcast radio assets and curated music experiences. Our digital radio platform has grown faster than any other digital radio service. Our stations, industry-leading personalities and events engage hundreds of millions of people through mobile and social. Our radio network programming extends our reach even beyond our stations and we produce some of the biggest and most talked about music and talk programming as well as artist focused events. We enable advertisers to connect with these listeners on every single one of these platforms. In outdoor, we reach millions of people monthly, including consumers in 45 of the top 50 U.S. markets. Clear Channel Outdoor is pioneering the integration of out-of-home with mobile and social platforms and our digital platform includes more than 8,000 screens worldwide with 1,175 digital billboards across 37 U.S. markets. There is simply no other company that can do what we do. So when we say that iHeartMedia is a one-of-a-kind media company, it's not a platitude. It's a fact and it gives us a leadership position across a number of consumer-focused platforms that we will continue to build on. Over the past year and in 2015, we also invested in enhancing our capabilities to analyze and use unique data we have on consumers in order to participate in the forefront of the data revolution, automating the sales process and providing programmatic buying and selling where it will be most effective. Through these and many other efforts, we will build on the power of sound and the power of outdoor to develop strong marketing solutions while providing the most live entertainment with more content and more events in more places on more devices to the industry's most engaged audiences, wherever they are. And heading into this year, we will continue to get advertisers, ramp partners and agencies the opportunity to get heard, be loved as well as get seen. Thanks again for joining us. Now let us open up the line for questions.
Operator: [Operator Instructions]. Our firs question is from the line of Avi Steiner. Please go ahead.
Avi Steiner: Thanks for taking the call, hearing the questions and very good pacing, so a couple of questions on that. I don't want to drill too deep, but outdoor is really much stronger than expected on both the Americas and international. I know it's a point in time. I know you don't like to spend too much time on it. We have had pacing retracing us before. But can you call out some specific things that's going on? I know you had some contract wins or market wins internationally, but what's going on that's turned things around particularly in the U.S.? And I have got a couple more. Thank you.
Rich Bressler: Thanks, Avi. Also thanks for kindly giving my preamble. You saved me 30 seconds. That's the way I feel about pacing. So appreciate that and good morning everybody. Look, again, to talk about we certainly know where they are at given point in time. I don't think that anybody should be surprised about the CCI pacings. Certainly we saw that last year when we had a very strong year in Clear Channel international. They have a strong management team there. So to me, that's really a continuation of what we have seen last year and we had particularly strength going on in Europe in the first quarter as well as we have seen some nice growth in Mexico. We have seen some nice growth in Australia and some really nice growth over in New Zealand. Again most of those, we have got a team over there that's doing a lot of nonconforming bids or creative contracts and really figuring out a way to take creative in execution to new level outside of the United States. And if you look at our market share, quite frankly, they gained. We continue to do that by bringing in some other sectors but also by taking massive shares if you just look at throughout our companies outside They have had some very good results and the facts speak for themselves. On CCRA, national, local and digital, they are all up. Occupancy is up across all of our traditional products and digital. And again, hopefully this is not a surprise. We have been saying I gave the numbers in my opening remarks. We doubled the second quarter than the first and the third quarter than the second and the fourth quarter we basically got to flat on revenues and got up almost 4% or so, on the bottomline. And I think again these are continuations. So I will just make the point that these are natural outgrowth of what you saw us talk about the entire year and I am pleased that we can deliver on what we talked about and talked about in the fourth quarter results.
Avi Steiner: Great and a couple more here. Rich, you noted that the lines certainly in traditional radio M&A segment are blurring between digital, local, national, et cetera. I wonder if you can help us out in M&A, maybe breaking that category out, size it out between traditional radio or core radio and everything else or really help us get a size of your non-core business?
Rich Bressler: Avi, we are not going to break out anything specifically. I have said and I have said in my, if you look at your remarks on that, the lines are getting blurred between local, regional, national spending across all disciplines spot, digital, events. Some things are going quite frankly more to national buys. Clearly more budgets are going to digital, which again I think plays into everything, it plays into our sweet spot. We have got the assets as people start to go there. So in the first three quarters, at least the categories are national and traffic and weather, real growth drivers during the quarter. But look, our focus is to really work with on a local basis, have local direct selling and sell directly with the advertisers. And then you look on the agency side and I commented on that also, just to take a minute, we are building relationships just beyond the buyers. We are working with the planners and strategy teams, ensure the agencies to give them the plan to allocation of ad dollars to the various sectors, that we get our fair share. I also think I quickly pointed out that agencies are very focused on having a few individual larger relationships with companies that can deliver them cost effective and in our case, great ROL, 6:1, return on investment dollars back to their clients. And we are clearly at the sweet spot of being able to do that, both on impact basis and a cost-effective basis and we are cheap compared to the global mediums that are out there, global social mediums. We are cheap compared to television, that's for sure. So we are just encouraged here. The bottomline is, we are interested in getting as many advertise dollars as we can, watching our costs and bringing them down to the bottomline and expanding our margins. And I suspect this might be a little bit frustrating to you guys as those lines are blurring, as I mentioned, because of what's happening in the way people are buying advertising dollars and they are going to continue to blur going forward. But I was in your shoes, because it's the way I watch it from the financial standpoint, in the way the Bob and I watch it, is look at our growth and look at our expansion of margins and look at our growth of the bottomline. And if you see all that, then I think we are doing a pretty good job of whatever lines of blurring.
Avi Steiner: Great and I am going to let someone else go and to have my very last question here. Well, first of congrats on the new title and then as far as my question goes and maybe Brian wants take this, but you guys have bought back 10% notes. I know you guys have sold those at price given the maturity and I am just curious how you think as the relationship there is inverted and now the 10% are trading much better than the 14%. How you guys may feel about 14% or other pieces of debt in your structure? And thanks for taking the questions, guys.
Brian Coleman: Thanks, Avi. I will take that. We see that change. I think the challenge with the 14% is further out in our maturity structure. So when we think about excess liquidity and how best to deploy that, the 2016 note buyback and the 2018 note buyback were a pretty simple analysis. Those are our next nearest debt maturity. Market seemed a bit dislocated. There was an attractive return. So we were aggressive and bought back those securities. Not saying that we would never take a look at the 2014 note, but I think we got to feel pretty comfortable about our liquidity position and not just in the near-term. We got some significant debt maturing in 2019 and 2020 to really reach beyond those facts and buyback something that matures beyond that would have to be a pretty compelling argument. So I think our focus will continue to be with excess liquidity, redeploy it at good yields but in the shorter term. But things change over time. But I think that's our position today and that's certainly how we have conducted our previous debt buyback.
Avi Steiner: Thanks.
Operator: Your next question is from the line of Jason Kim. Please go ahead.
Jason Kim: Hi. Good morning. Thanks, guys. And again, congrats to Rich for adding the Chief Operating Officer title. So following up on the balance sheet question we ask as every quarter it seems like, but the Term Loan B maturity is just over $900 million left. What's your appetite to address that last bit of that 2016 on maturity wall, now that it's less than a year over? And should we be thinking that logistically secured bond at the parent level is just easier than issuing at the outdoor site, despite the cost of capital being much more expensive at iHeart at this point?
Brian Coleman: Good question. Didn't know you would ask the first one after all Debtwire published a nice article about it. So I didn't know if there was any question out there. But in reality, I think our playbook hasn't changed. We continue to be opportunistic. I think we have been over the past few years. I think we are disciplined in our approach. We are focused on cost. But we balance that with refinancing best. To take a step back, in September we had $2 billion in maturities. We refinanced a little over half the half of the maturity. That was when we decided to take $931 million over the year and let it go current. But it is current now. So I think we are balancing that refinancing risk profile against where the market is and our sensitivity to pricing. So a lot of words, not a lot of an answer here, but I think we will continue to be opportunistic and you have all seen the high yield markets and they seem to be moving in the right direction. So we will continue to keep our eyes on the market. The second part of that question really is about preference for financing. I think again we have done PGM issuances to refinance bank debt recently. Outdoor did approve some debt raises and clearly it's a lower cost of capital there. I think the one thing I would want to say is raising debt at outdoor, increasing leverage at outdoor, is a decision of the outdoor board. So while we view that as an alternative amongst others, that would be up to them with respect to size and timing and availability. But we look at TGMs as being an obvious and an easier access points to capital. We have got cash on hand. We have got availability under our ABL. We have a significant amount of securities, over $0.5 billion in debt securities and some recently purchased outdoor equity in our unrestricted subsidiary that can be monetized. We have done asset sales over the past year and continue to look at that, as Rich alluded to. So I think when you look at the remaining $931 million of Term Loan B and little bit of a C in there, I think we have a lot of alternatives. PGM's are certainly the ones that's the most obvious, but there are other things we can look to, to refinance some or all of the remaining maturity. So we will continue to watch the market and be opportunistic, which is what we have done over the past few years. Did that answer all your questions, Jason?
Jason Kim: Yes, definitely. And then another question and I am not sure how much you can answer this. But a lot of investors have been asking about the potential for M&A involving your outdoor assets in Europe. The latest bit of press report we have seen is that the sale process has been put on hold. Again you have never actually confirmed these reports before. But can you just remind me and remind us how you look at the outdoor business in terms of balancing the need to have access of cash flows from the business versus the fact that valuation of these assets has gone up pretty meaningfully recently? So how you can create value for your debt at the parent level by monetizing these assets? And how does the movement in the foreign exchange rate affect your decision making process, if any.
Rich Bressler: First, thanks. It's Rich. Thanks to you guys and to Avi for the comments on the title. It's really has been a real team effort here and I think the title is a recognition of how far we have come as a company, quite frankly. It's much more than just about me. On the overall assets, I am not going to comment between the rumors. But I think one of the things that we continue to prove time and time again and really in the last year, year-and-a-half and since I have been in this position, is the fact that we are constantly looking at our balance sheet and whether it's everything that Brian just talked about and the great job that he is done on the finance and refinancing to making sure that we are here for one reason, which is to make money for all of our stakeholders. And we all understand that's our number one job when we walk in everyday and put our heads on the pillow every night which doesn't happen too often lately. But we are always looking at relevant M&A opportunities, non-core asset sales. I am commenting anything specifically. But we have talked again, I think in the earnings release about it or in our remarks that we had over $800 million approximately of asset sales. It started with the APN sale on the stations. We have done some sale leaseback for the office space. We have got the tower deal that we have announced that we think is on track to close. It may be multiple closings, but they start to close in the first quarter. We have looked at those, where it's just straight up across the financing frames. And then we are always looking at non-core asset sales. And then specifically on CCI, somebody asked the question, I think Avi asked earlier about the impressiveness of the pacing. We love the business. We love how the business is performing. We love how the business performed last year. We love how the business is performing this year. We have an outstanding management team, both at the leadership level in the center and we also have outstanding management teams for each of our country managers outside of the United States and our regional managers and we have strong growth both in developed and emerging markets for 2014, where we delivered topline growth and we added a lot of bottomline growth. And again, as we said earlier, we took market share particularly outside the United States from our competitors. So we are in a great, great position to continue to operate these exciting businesses and we are always looking at the lens and saying how we make money and what's the right thing to do for our stakeholders
Jason Kim: All right. That makes sense. If I can squeeze in one more. Can you provide an update on the LA digital boards situation? I know it's been some time since those boards have gone dark, but any update you can provide there?
Rich Bressler: Yes. Look, there's not much news on LA with the digital boards. I will say we are continuing to work vigorously with the city on a legislative solution that will allow us to turn back on as many digital boards as possible. And I have said before, I know I am a broken record on this and believe me, nobody wants the boards or the boards that we are going to get back on, nobody is [indiscernible] with Bob and I and rest of the management team and our Board of Directors who actually wants those boards lot quicker than we do. We all want them back very quickly. But at the same point, it does take time. I think the good news in the interim, we are selectively seeking permits to convert some of the boards back to traditional vinyl static signs. We have converted a total of 15 boards to-date. So again not trying to make a point, but rather than having the digital boards back, but we are standing still. We are keeping our feet moving. It's not meaningful yet from the revenue perspective, but at least it's a parallel step that we can take when we work through the legislative process.
Operator: Our next question is from the line of Marci Ryvicker. Please go ahead.
Marci Ryvicker: Thanks. I have a couple on the Americas and then one on iHeartMedia. Just for the pace in the Americas, is that just broad-based and there is no one-time items that maybe impacting that plus 4.8%?
Rich Bressler: Yes. It's really strength across everything. It's strength across national, local, digital. Marci, there is no one-time items. If there was any, clearly we would have called them out.
Marci Ryvicker: And then in terms of expenses, you have been able to keep them down year-over-year despite investment spending. Is this something that we can continue to see going forward?
Rich Bressler: Yes. I mean, look, we are -- I don't know if your question is specifically outdoor, specific to the company, but on outdoor, there is no one thing that driving these expenses down at CCLA. It's a combination of variable expenses as well as efficiencies on the past initiatives. Overall, not just on this call, but we have been saying and I have been saying, since the beginning of this year that we are going to continue to maximize the efficiency of the cost basis of this company. And I think you are going to see us, I don't think, I know, you are going to continue to see us do that. We are vigorous about that, starting with Bob and myself and whether that's outdoor, whether that's international side, whether that's the iHeartMedia side of the equation, that phrase, less is more on the operating expense side and our job is to continue to grow the topline and get more dollars to the bottomline.
Marci Ryvicker: Okay and then one on the radio side. You talked about local direct business being strong. How meaningful is that as a percent of revenue? And is that -- are you able to grow that over time?
Rich Bressler: Well, we don't comment and we don't break that out. I don't think we have ever broken that out and I am not going to start now. But like I said, it is a focus of ours, in terms of the deals being done directly with local advertisers. They were up. As I said, they are up on a year-over-year basis. We have got a great management team in terms of our market presidents and our EVPOs, there are some people that are market reporters, who report them to Bob and myself. I think one of the things that doesn't hit you guys laid out on the screen but that leads to these results is from an operational standpoint, we are incredibly focused in giving our local sellers more and more tools so they can go out and compete in obviously a very competitive marketplace. And I think the fact that we have done that and we have made sure that everybody sings to the same hymnbook and are given all the right tools is the results you are seeing here on local direct selling and part of the roles that we play, Bob and I and EVPOs, is to continue to arm our markets with the right tools to grow that revenue.
Operator: And our next question is from the line of Lance Vitanza. Please go ahead.
Lance Vitanza: Hi guys. Thanks for taking the question. I had a couple on the media side and then a couple of specifically on iHeartRadio. First on the Nielsen study, if I heard you right, it sounds like you are getting traction with the study when you talk to your existing advertisers, but what about packaged good companies that haven't yet made a real commitment to the medium? Are you getting any traction there?
Rich Bressler: Yes, look, I think I said this in my remarks, look, overall retail was down on year-over-year basis. But with the Nielsen study and again, this is Nielsen study, it is not our study. Nielsen announced this study. One of the great things when you listen to what Arbitron and Dave Calhoun, who is CEO of Nielson said one of the reasons he was buying Arbitron was that radio is the most misunderstood medium in America as an advertising media. And we all thought that intuitively all of those in the industry in form or another for a long period of time and now when he did the Nielsen and the Nielsen Catalina study, the results which were a direct match was people listening to the medium naturally obviously on a blind test with credit card purchases and saying that this was a 6:1. So advertisers spends a $1 gets $6 back, which is three times more effective than television, three times more effective than Facebook. And if you think about it, it all makes sense, which we are about a third the price of the CPM. So I think if you look at it between that study, that study that we had, the real life case study where we have had great success with a number of advertisers. I think we mentioned some in my opening remarks with companies like Taco Bell. We talked about Discovery Communications and they are opening a Shark Week. So we are going to all the advertisers with as this data that we have. And as we are fond of saying and as I am fond of saying right now, if we had all these stats and we ran it from the noon today and you looked at it, this is the greatest social medium in the Americas. We are a social medium. As a reminder, two-thirds of our listeners are outside of home. So this is the greatest social medium out there today in terms of its effectiveness. It happens to be core. It happens to be under the belt of radio and has been around a long period of time. So our jobs and the name change the company is to change that perception, lead that effort and we are starting to see that we are making those strides in our financial results. But I can assure you, there is no advertiser with stone left unturned and we are not going to, when talk about this. Okay. I think with that, we are out of time. Thank you all very, very much for listening and obviously Effie and Brian will be available for any follow-up questions. So thank you all very much.
Operator: Ladies and gentlemen, this conference will be made available for replay after 10:30 Eastern today until March 19 at midnight. You may reach the AT&T Executive Playback service by dialing 1-800-475-6701 and entering the access code 352334. International participants may dial 1-320-365-3844. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.